Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Pete Redfern: 00:04 From a personal point of view, it feels a bit strange kind of having not done this face-to-face for two years, having a smaller audience because of the Tube strike, but also, it's the last time I’ll do it and put all those together and it feels like a special occasion. I'm not going to sort of bore you with too much maudlin self-kind of piece, but I will tell you one little story, which happened only about three minutes ago. And it goes back to your comment, Faeth, I thought you were going to put a suit on for this, which Faeth did not think I was going to put a suit on for this, just to be clear. 00:33 So when I came in three or four minutes ago to get mic’d up, that sort of gentleman from security on the door stopped me. And he stopped me, sort of I think mostly because I had a cup of coffee in my hand. But he said, and I take this is a badge of honor, just to be clear, guys at the back, I really do. He said are you with the AV guys at the back? And genuinely, I am very proud to be -- considered to be one of the AV guys at the back, sort of, and that he noticed but I wouldn't surprise any of you that I wasn't wearing a tie. 01:07 I will chair the Q&A at the end and I probably will kind of say, a few little bits at the end, but I wouldn't make a big deal of it, I promise. And we do have a different structure of presentation today for reasons you'll understand. I'm going to focus and try and be as disciplined as possible, focusing on our 2021 review, looking back at last year. I'm not going to spend a lot of time on it and I am going to pick up particularly fire safety, which I've been spending a lot of time on personally over the last sort of few weeks, but I'm going to leave, a lot the operational view, the outlook and that sort of forward-looking pieces for reasons you'll understand to Jennie whose section will be probably longer than usual. But then as I say, I'll come back and share the Q&A and probably wrap up at the end. 01:48 Getting into it, 2021, I think we view as a very good year for the business, sort of a return to normality in most of the metrics after the strangeness that was 2020. As ever, I'm not going to read every word on any of these slides, and just pick out the things that to me personally are important and I want to make a point about. The statistic that I think I'll pick out most from this particular slide is that Construction Quality Review Score. It's not something everybody in the industry talks about, but you recognize we've been talking about it consistently for a number of years. And we do believe it's a really good measure of underlying quality of construction. But we will talk about the five-star review. 02:26 You’ll remember, we're been one of the first to talk about customer service reviews. We do think whether you're looking at it from the perspective of cladding and fire safety, future regulation, consistency in quality reputation, actually looking at both construction quality as well as customer service is critically important. That 4.67 won’t mean, a huge amount to you, but it is the best score in the industry and it has continued to progress year-on-year for the business and is incredibly important. 02:54 The second number on that slide and I'm only going to pick out two. What I'm going to pick out is the short-term landbank plots. That represents, in particular, if you look at the owned plots in the land bank, a 9,000 increase in plots year-on-year. That 9,000 plots is the bulk of the equity raise plots coming through, not just in approvals which we've talked about, sort of as we went through 2020 and 2021. But actually, coming through into the balance sheet. Starting to come through in outlets with all [indiscernible] outlets I suspect during the course of the presentation, but that's all set up for the growth in the future. And Chris will touch on, you can see that GBP0.5 million standing very clearly in our own land value. 03:34 Just moving on, and I'm going to try and be disciplined and not talk too much about where we are today where the housing market has been through 2021 and remains today in an incredibly strong place. Performance is good. There are no cracks that we've seen, either through the last week or so of the horror in Ukraine or through interest rate rises and signals and interest rate rises, and it remains consistently strong. You'll see our sales rates sort of have been stronger this year than the early part of last year, but also against that, we've seen very strong price growth as well, probably stronger in early 2021, 2022 sorry than we saw through 2021. 04:14 And the business is in a strong place. And you also see, and I said we will touch on outlets. You see our outlet numbers just tick up a bit. Now, I do think it's important. I'm certainly not going to leave my colleagues with a set of unrealistic mountains to climb. We are very clear. The main growth in outlets will start to come in the second half of this year. And our messaging on that has not changed since the equity raise and it's still the same today. We do believe you will see that growth. It will drive growth in completions in 2023 and beyond. But it's a second half weighted growth so expect reasonably stable outlets in the first half. 04:45 Just some broad views of operational progress and actually operational depth. I've already touched on the Construction Quality Review in the sort of top left box. But the thing I'm most proud of is that employees' survey, and the culture of the business and the strength that gives us, particularly in a world at the moment in 2022, where hanging on to employees, keeping people motivated, getting real depth of commitment to the business's strategy and retention is key. And you'll see, all of those scores are above 90%. 05:21 The one I'm personally most proud of is the health and safety one. And the sort of questions that underpin that, sort of 97% is, that's the number of people who believe the business is genuine fully committed to health and safety. But the fact that you see that depth of commitment and understanding from our employees to diversity and inclusion to their pride in the business, I think is unique in the sector and pretty uncommon across lots of other large businesses. We are very proud of that and it makes a huge difference to what the business tends to do. 05:49 If I look at the other three collectively, one thing you may remember back in 2018 when we set out a new strategy is, as well as talking about land bank size and direction, we also talked about the importance to professionalize the business, to take what it had historically been, quite variable across our sector and individual businesses from individual brands and really make sure that its attitude to quality, to service, to people that it was a properly modern business and I think as you see the trajectory over the last three or four years and all of those sort of measures, it just underpins the quality of the business and its ability to deliver what it intends to do. And I'd like to think, sort of, that is a really clear signal that I’m handing over a business that's in really good shape under the surface. 6:36 Picking out a couple of things on specifics for 2021 and operational excellence, we finished the rollout of the CRM system that we've talked about before and you might remember Chris told you a little bit about some of the detailed benefits. It's now live. It's driving in, yeah, a sort of real value in information and efficiency. And I think what it enables us to do is really look differently at how we sell and understanding our customers, understanding the links, sort of between our customers to plan their decisions and how we plan our sites. 07:05 I'll also pull out, and again, sort of, I'm going back a little bit in time, the restructuring that you may remember we did in late 2020. We took out about GBP16 million of costs, but I said at the time that the key shift was actually more of a cultural one about taking out a layer of management that just sharpened operational focus, and we believe you can see in the 2021 results and in the strength of the business going forward, that has really made a difference to the focus of the business on its operational performance, not just strategic and sort of cultural objectives. 07:36 I would also say and Jennie has talked about this in the past and will talk about again I'm sure in the future, that we've also been hugely pleased with our progress on procurement both our central procurement function, but also our engagement with the supply chain. And as we've gone through the challenges of 2021 on sort of actually finding the right supply, managing costs that has helped us hugely. But it also sets us up with some real opportunity for further value added over the course of the next few years. 08:03 Now, I'd like to think on the sort of, although ESG is a relatively new term that the underlying things that drive ESG have been embedded in Taylor Wimpey for years. And actually, one of the things we struggled with most is to draw out all the things that are happening in the business and communicate them well, because a lot of them were happening naturally before ESG became a word or a phrase that people talked about. But just picking out a couple of things. We've already achieved a 35% reduction in emissions since 2013, larger than anybody else in the sector. We are also one of the first to set up a science-based targets across our value chain and have those approved. 08:43 But I think the key agenda for us as we look at our environmental sustainability objectives over the course of the next 12 months is not setting a net zero target and focusing on the targets. It's actually really, really working out what needs to be done to execute that, what are the challenges, what are the actual actions. And there's a lot that has gone on in 2021 to give us the underpin of that, and I expect we'll be talking to you about that a lot more during 2022, and coming up with a net zero target before long. But it's the actions rather than exactly which year we think we get that matters. 09:19 And I think on social and governance, the business has always been in a good place. You know, sort of our diversity and inclusion performance and sort of the way that fits within the business is already strong. But just picking out a couple of a things. We were pleased to close the case with the Competition and Markets Authority. I think from an investor point of view clearly, the fact that we closed it in line with the costs that we set out five years ago, we took early action five years ago on a really difficult issue. But it is really good to see that finally closed. And as I say, within that sort of cost provision. And on governance, I think that culture around the people, governance comes naturally to the people in Taylor Wimpey. And I think it's something that is a real key strength of the business. 10:01 I said that I will talk about fire safety and as I say, this for me has been a key focus of the last month or so with the Government's changed of focus. But before we talk about Government's changed focus, I think it's really important to remember where Taylor Wimpey is a year ago, we said we would pay for all Taylor Wimpey buildings for the last 20 years, including particularly the buildings between 11 and 18 meters which was a pretty unique commitment at that time and where Government is focused today that we will take responsibility for that work and we will pay for that work. We made a provision, at that time as you know, and ever since then, we've been working with building owners to try and resolve those issues. 10:39 So actually, when in January, Government said that its loan scheme for 11 to 18-meter buildings didn't really work and it wanted the industry to pay for them. The key change for us was already embedded and so our conversation with Government around our own schemes has been actually very benign and relatively straightforward. We're already committed to doing that work. It's a difficult position for Government. You all know that I've set out some pretty significant asks about the industry covering the costs of buildings that we haven't built ourselves. Our view very strongly is everybody in the industry, in line with the proposal the HBF made last week, should be committing to actually resolving issues on their own buildings. But to ask the industry to match the whole of the bill for sort of orphan buildings and overseas investors is a huge step and that's where the difficult negotiations inevitably will be. I cannot really give you any meaningful update except to say that HBF covers less than half of these buildings. But that less than half is a really good sample size and so through the work over the last six weeks, we've got a really good sense of how many buildings for HBF members are likely to be affected and a really good sense of the kind of costs. 11:49 We do seriously question the quality of the GBP4 billion estimate that the Government made. We cannot get to anywhere near the number of buildings that they think are affected and that's not about disputing the amount of work that needs to be done. It's just about questioning the math on the building numbers. The cost per building, I don't think is unreasonable. Number of buildings doesn't feel right. So it's the one bit of information that's hopefully a little bit comforting that I can give you is that the data we look at does not get us to that scale of number, but I think in terms of what the resolution sort of will be is really hard to steer. So, I think we're in the middle of that conversation at the moment. 12:21 But we stand by what we said, sort of last year and we stand by what we said in January in terms of Taylor Wimpey's own buildings that actually, the estimates that we've made are reasonable. And when we talk about a modest provision, I would be very, very clear. What we're talking about is a small number of buildings that are above 18 meters that we do not own the free hold off, that have always gone in to the building safety fund. In reaching an overall solution, we are comfortable to pick up that cost. But to do so unilaterally without an overall solution does not seem right, particularly when we are paying more than 10 times the cost of those buildings under the RPDT over the next 10 years. So, we are already funding that scheme. So, we will be happy to withdraw from that scheme as part of an overall solution, but are unlikely to do so, sort of in isolation without a complete conclusion. 13:07 And when we talk about modest cost, we do mean modest. We have not put the number up because we don't know what it is. We have not put the number up because it is a commercial negotiation in effect and actually having a number, we would dispute some of the buildings, for instance. But actually, from an investment point of view, from a forward views of cash and dividend, it is not material enough to affect your judgment. So, we're comfortable just to talk about sort of scale, but just don't think it's helpful to have a specific number. However, we do believe that it's an industry issue. We do believe that Taylor Wimpey and one or two others are in a good place from what we've done on our own buildings, but it's a difficult problem for Government to solve. 13:42 So last of all, just looking back quickly at 2021. We delivered a strong uplift in completion volumes from the low base in 2020. However, most importantly, we delivered the completion volumes we always told you we would in a world where not many did because we were pretty realistic about the constraints on the supply side from day one. We delivered a strong recovery in our operating margins. What we would say is a normal level of operating margin. But the bottom end of what we see as a reasonable range and Jennie will talk, I'm sure about where we see it going forward, but we're not changing our guidance. 14:19 We saw coming through onto the balance sheet, the land investment that we've been flagging for 18 months and you can really see that as a platform for growth. We embedded a new environment strategy. It's the one that's orange on the page but anybody who can claim their environment strategy delivers a green right now, I think, is kidding you. I would not steal Jennie’s thunder, but we launched and piloted a new house type range. And that is a long process. So, we are coming to the end of that process and seeing it that out on site. 14:47 And I touched on, I do think something, which is critically important and often underestimated, improved on what was already an industry-leading quality review score. Jennie?
Chris Carney: 15:08 Thanks, Pete. Good morning, everyone. So, these are a great set of results which mark a swift return to strong financial performance similar in many respects to pre-COVID levels. The 54% increase in revenue was mainly driven by a 47% increase in Group wholly-owned completions together with improved selling prices and I'll come back to those. 15:36 The gross profit margin increased to 24% as COVID related costs were minimal and the higher completion volumes improved fixed cost recovery. The operating margin performance is in line with the expectations that we set out in August, but an improvement on where we thought we'd get to this time last year and that improvement is because we've been successful in pushing hard on price. We delivered volumes towards the top end of our guidance range. And we've tightened our commercial discipline to manage our costs more effectively. So, I'm really delighted with that margin outcome and the platform that it provides for further progress in 2022 and beyond. 16:15 The growth in tangible net asset value per share at 7.4% is after reflecting the GBP125 million exceptional cladding provision we announced this time last year. And return on net operating assets is just shy of 25%, is exactly where we would expect it to be at this stage of our growth journey. 16:36 On this slide, you can see the split between private and affordable completions with affordable contributing 17.6% of UK volumes in 2021. Looking forward, we expect affordable to increase to around 20% of 2022 completions. Private average selling prices increased by 2.8% year-on-year, which reflects underlying price inflation of about 4%, which you'll see on the next slide, offset slightly by a higher mix of completions from Scotland and the North. Joint ventures contributed a share of profit of GBP5.4 million in the year and that is expected to increase to around GBP10 million in 2022. 17:23 This slide provides an illustration of the factors contributing to the movement in UK operating margin from one year to the next. And you'll recall that inflation on selling prices and build costs were both 3% when we presented the slide at the half year. Both have increased to around 4% for the full year indicating they were running closer to 5% in the second half. Build cost inflation has continued to rise in 2022 and is currently running at around 6%. But that continues to be fully offset by price inflation. 17:58 Overall, the net market impact has come, including land bank evolution which I'll come back to actually on the next slide. It was an increase of 1.1 percentage points. The sources of the biggest improvements in margin in 2021 are at the same as we reported, at the half year and you can see them in the two boxes. There on the slide. The first box includes the benefits in the period from the absence of COVID related costs, but also the benefit of the restructuring actions we took in 2020 which generated a saving in 2021. 18:34 The second box shows the impact from the return to more normal levels of fixed cost recovery as volumes have increased. And as we look forward, we continue to expect margin to improve in 2022 and beyond, which you can see on the next slide. 18:52 Now what you should see at a glance from this slide is that we remain very confident of the business's ability to achieve higher operating margins of 21% to 22% in the medium term assuming a stable market. I'm very much aware that the right-hand side of the slide takes you to a range of 21.2% to 22.6% and not 21% to 22% and in the real world, the range is a bit wider than we presented here, but the slide should continue to give you a good sense of what we see as the main drivers of margin going forward. 19:30 The start point for the bridge has been updated to reflect the current year performance and as a consequence, both the restructuring efficiencies and the price optimization that you've seen on previous versions of this slide are now fully captured in that starting point. The efficiency benefit associated with higher volumes has grown to become the largest component of the bridge, reflecting the fact that 2021 volumes remain 10% lower than 2019.The increase in our short-term land bank to 85,000 plots at the end of 2021 is the first stage in delivering that volume growth and the next stage is converting that land bank to outlets and Jennie will update you on the good progress that we're making in that respect. So, we remain on track for material volume growth in 2023. 20:21 Land bank evolution is the impact from trading out of older sites with cumulative inflation and regulation and replacing them with new land where the margin on acquisition has shown an improvement over the last five or so years since the Brexit referendum and given the changes to Part L and F effective from the middle of this year and the subsequent introduction of Future Home Standards, we've been quite cautious on this. But as you'd expect, the teams will work hard to drive efficiencies as we work our way through those transitions. 20:56 And lastly, the operational improvements include the benefits of our CRM system, which as Pete said, was rolled out during 2021 and is now operational throughout the business, plus the impact of our new house type range, which will deliver improved plotting efficiency, lower build costs and be easier to build. We built prototypes in 2021. We're now plotting the new range on new sites and we've adapted them to comply with the changes to building regs, but we should expect to see that flow through fairly quickly into completions over the next couple of years. 21:33 So a couple of things to pull out on the balance sheet. Land, as Pete has already said, has increased by GBP510 million over the course of the last year, driven by a 9,000 unit increase in the short term owned land bank as a consequence of the equity raise in 2020. Land cost represents 14.6% of the average selling price in that owned land bank which really does demonstrate the quality of our land position. Work in progress, reduced year-on-year as predicted. Last year was elevated because of the overhang of completions from the end of 2020 into Q1 2021 as a result of the site closures in Q2 2020. And that overhang generated a record half one performance in 2021 and the weighting of completions to the first half. Given the reduction in WIP coming into this year, we expect to return to a more normal weighting of completions in 2022 with approximately 45% in the first half. 22:39 Land creditors have increased by GBP130 million to GBP806 million, consistent with the increased land investment and 39% of that balance falls due for payment in 2022. And provisions, as noted earlier have increased due to the GBP125 million cladding provision booked in the first half of the year. So, despite the significant investment in land, we continued to generate very strong cash inflows with GBP575 million generated from operations to fund tax and exceptionals with the remainder available for distribution to shareholders over time. 23:23 In 2022, we will see investment more balanced between land and WIP, as we increase the number of outlets. But when we get to 2023, we'll start to see even greater cash generation from operations as the volumes increase. The most significant non-operational outflows in 2021 were the tax and dividends, and we're expecting an effective tax rate in 2022 of 22% which incorporates the full percent residential developer property tax kicking in from April. However, the combined effective rate will increase further to 27.5% in 2023 and 29% in 2024, following the increase in the corporation tax rate from 19% to 25% in April 2023. 24:12 This time last year, we resumed our ordinary dividend policy of paying out to shareholders approximately 7.5% of net assets each year in two equal instalments in May and November and consistent with that policy today, we're declaring a final dividend for 2021 of GBP162 million or GBP4.44 per share to be paid in May, subject to shareholder approval. 24:40 And that brings me onto excess capital returns. So, I thought with this slide, it would just be useful to set out how we think about excess capital returns. As a highly cash generative business, we can deliver attractive returns to investors and our approach to returning excess capital reflects the fact that we operate in a cyclical industry which means that we want to maintain a strong balance sheet with low adjusted gearing. But at the same time, we want to ensure we're investing in the land and WIP to drive our growth, and where we have excess cash after funding that growth and paying the ordinary dividend, we will return it to shareholders. 25:25 Now turning to what that means for the current year. As we look forward, we have further payments on land contracts agreed over the last 18 months and investment in WIP to support outlet openings and to drive growth in 2023 and beyond. Despite these investments, we've conservatively assessed our excess capital and have this morning announced GBP150 million excess return to shareholders. We were specific in our January statement that it was the Board's intention to return this cash by way of a share buyback, reflecting both investors' feedback and the Board's view of the current share price. And we've confirmed that intention with buyback obviously commencing today. 26:11 And then finally, moving on to the guidance slide, we've indicated for some time now, our expectations of a modest volume growth in 2022, so a low-single digit percentage increase. Within that, we are expecting a more normal half one half two weighting, with around 45% of completions in the first half and the mix of affordable homes is expected to be approximately 20%. 26:40 With regard to margin, we are conscious of the interest rate trajectory and build cost inflation, which is running at the highest level we've seen since 2014. However, margin and quality of earnings remains our focus over volume and we are, therefore, confident of delivering a further increase in Group operating margin in 2022 towards our medium-term operating margin target ahead of both 2021 and 2019, and in line with our previous expectations. 27:15 Year-end net cash is difficult to forecast with accuracy this far out due to the variability and the timing of land spend, but our current expectation is for GBP600 million. So, all in all, I think a very bright future for the business. We've done what we said we were going to do in 2021, and we are well set to continue to deliver on our promises in 2022. 27:45 And it gives me great pleasure to hand over now to our CEO Designate, Jennie not Pete.
Jennie Daly: 27:59 Good morning, everyone. I was going to say I'd take you for a canter through the operational overview and outlook, but given time, I think that we’ll take that up to a gallop. Straight in to a look at the housing market then. Whilst we expect further increases in the base rate through 2020, we continue to see good mortgage availability at higher LTVs across a range of lenders and overall affordability remaining good. 28:30 New homes are already more energy efficient than many older homes and the further energy savings from meeting Future Home Standards will, I believe, make our homes increasingly attractive to our customers with lower running costs and a greatly reduced environmental footprint. And the unwind of Help to Buy in March 2023 is being well managed with usage falling in 21% to 24% of private reservations and dropping to 20% in the second half. 29:00 With this and other actions such as Deposit Unlock, a circa 3% reduction in our average size of home and a gradual movement of mix reducing four, five bed towards a smaller home mix, we are well prepared for the final stages of the Help to Buy unwind. On land, the market is increasingly competitive. However, good opportunities do remain and our teams are replacing land on a selective basis across all of our divisions. Whilst there are undoubtedly delays in the planning system, and there is the potential for further increased regulatory burdens such as design uplifts and biodiversity net gain. Our teams are aware of these and factoring them into land buying assumptions and expectations for outlet opening. 29:48 From a political perspective, there's a lot going on, and I'm not going to attempt to cover it. You'll be pleased to hear this morning nor will I repeat what Pete has already said on cladding and building safety. But I would flag the Leveling Up White Paper released in February because it includes housing as one of its key missions and included welcome housing related commitments, such as helping renters secure path to ownership by 2030 and increasing the number of first-time buyers in all areas of the UK. The paper also included a commitment to 300,000 new homes per year and continues some of the themes that were included in the Planning White Paper. So, we'll expect to hear more in the spring, potentially a planning or Leveling Up Bill. 30:36 So looking at forward indicators, the last few weeks of 2022, we see strong website activity across key measures. Very consistent when compared with previous years. Website visits are roughly flat with that of what was a strong 2021, but up 5% on 2020 and 20% against 2019. And in particular, we haven't seen any noticeable changes in website visits following the interest rate rise with activity, remaining in line with seasonal trends. Appointment bookings too remain consistent with '21, which was also a very strong year. 31:17 We are currently over 60% forward sold for private completions in 2022 and continue to grow our order book into the second half of the year. And as of 27 of February, our total order book excluding joint ventures stood at GBP2.9 billion, just under 11,000 homes. So, the data reflects an underlying strength of demand for our homes underpinned by low interest rates and good mortgage lending. 31:47 So now on to sort of land bank. During the early stages of the pandemic, we took the strategic decision to increase investment in land on an opportunistic basis. Over the 18 months to the 31, December, we strengthened our land bank adding circa 29,000 new plots, including converting 9,000 units from our strategic land pipeline, overall investing GBP1.4 billion. The land acquisition intake margins underpinned our 21% to 22% operating margin target and provides us with a greater number of options amidst a competitive land environment and under sticky planning environment. These sites are distributed across all divisions and have a healthy balance of large and small sites within it. All of that means that we are able to operate selectively in today's market. 32:43 During the year, we acquired 14,450 plots increasing the short term land bank by 8,000 plots to 85,000 and the average selling price in the short-term land bank increased by 4.9% to 302,000. And although Chris has already mentioned this number, I thought it is worth repeating, the average cost of land within the short-term owned land bank that remains low at 14.6%. 33:13 Throughout 2020 and 2021, our teams worked incredibly hard at the front end identifying, securing and processing a significant level of new land acquisitions to get us into what is a very strong position. Notwithstanding some challenges in planning terms, our delivery for '22 and '23 is very healthy with outlined, or detailed planning on 100% of 2022 expected completions and 97% of 2023 expected completions. The pace is unrelenting, however and the hard work is ongoing. Our management and operational teams are clear on the actions required to ensure we deliver and maintain the momentum for growth, positioning our business to deliver increased volume growth in the medium term. 34:02 So moving from completions to sort of outlets, now I think this slide demonstrates again the high level of certainty we have in our outlet delivery for 2022 and the first half of '23, which will deliver increased completions in '23 and '24.We remain very focused on progressing new acquisitions through the planning and technical stages and opening quality outlets. As at the end of February, we own or control with planning or resolution to grant 88% of the sites where we intend to open an outlet in '22 of which we have already started on site nearly a third, though as Chris has mentioned, the weighting of our opens will be later in the year. So, where planning delays have been experienced, these have been factored in to these forecasts. 34:57 We are pleased, of course, with the sites we secured following the equity raise, which underpin our medium term margin targets and the decision to go early and take advantage of the market in the absence of others was one which I believe was a good one and particularly given the current tightening in the market. So, there are lots of additional activity during that period and I have a couple to share with you. Though I removed the locations to save the blushes of others. This particular site was one of the very first we bought. It was initially marketed at the end of 2019. And at that time, two house builders bidding jointly were selected preferred bidders. 35:41 The local team continued to monitor and reengage with the landowner in April 2020 when little progress had been made. Our early discussions were positive but significantly strengthened by the equity raise, which gave the landowner the confidence that we would perform. And at the time, I don't think that there was anyone in the market that would have been willing or indeed able to commit to this particular purchase. In July 2020, we agreed terms on what I would call a pleasingly good level below the original bid and the teams have made a very swift progress since. The site work commenced in July. The outlet opened in December. The first legal completions are on track for delivery in April 2022. 36:31 This is another early example, a small greenfield site on the edge of the village, a lot size and location which our local team would find highly competitive in normal circumstances. The site was under offer again to another party and the deal agreed pre-COVID lockdown. Once again poor performance, due to funding nervousness, our local team were able to step in with an alternative keener offer and short contract time scales. The deal was done in under two months and having built a good relationship with the vendor, we've since done another deal on adjacent land. This site offers a good standard house type mix, a desirable location, an affordable mid-market price point and the small site provided the opportunity for the local business to increase their outlet position. The site will start in summer of 2022 with the outlet programmed for quarter one 2023. 37:29 So now, I just want to run through about four slides. They are going to take quite a high level overview and go at some pace? So I’m not going to cover the details today, but I will come back to these in the future and of course, I'm happy to take any questions that you might have. So, our strategic land pipeline is a key strength in our land position. And I think it's never been more important to have control of land, particularly when carried lightly given the current sluggish planning environment. 38:05 Strategic land gives us an all-important additional input to the short-term land bank at improved margins and provides greater control over the quality of the planning permissions we receive. This is further enhanced by good visibility and prioritization of the near-term pipeline conversions. In the year, 50% of our completions were sourced from strategic pipeline. We converted approximately 7,700 plots to the short term land bank and we added 6,000 net potential new plots. So, I think we're in a great position and at 145,000 plots, we have the strongest strategic pipeline in the sector with the vast majority either freehold or under option and the majority of our options have a discount opportunity range in between 10% and 20%, the overall average discount opportunity being in the region of 13%. 39:02 So Pete mentioned that I would come to the new house type range and I promise not to take too long. In the year, 89% of our house completions were from the standard house type range and I think the business is therefore very well primed to adopt and achieve the benefits of the new range. The range has been designed to be high quality, energy efficient, cost effective and safe to build. Its core design principles support greater standardization, simplification and plotting efficiency benefits, and we expect to realize consistent savings in build cost. It is also being designed to accommodate Future Home Standards and to deliver adaptable elevations and attractive street scenes whilst maintaining these benefits. Customer engagements throughout the process has ensured a range which is customer facing and desirable, and feedback from visitors to our prototype site have been very positive. 40:03 When we think of optimizing our land asset, we're looking at achieving the optimal balance in square foot coverage build, cost, revenue, and sales rate. And the optimum mix will cover, and coverage will change from site to site, market to market and is also impacted by external factors such as planning and site constraints. Those businesses that have been plotting the new range are seeing plotting efficiency improvements by around 200 to 400 square foot an acre on new sites and re-plans, gained through ease of plotting because of simplified foot plates, repetitive plot debts and efficiency accommodating in plot parking. The coverage isn't everything and therefore having the cost effective build, being able to deliver that kerb appeal to stimulate revenue and rate are also important features of a house type range and getting the best out of our land asset. I think the new range has all of these attributes including attractive product mix at competitive price points. 41:09 And again Pete, gave early mention to supply chain and during 2021, the sector faced supply constraints and experienced general shortage of haulage. We managed these pressures, I believe, effectively benefiting from our scale and our strong partner relationships. But we were also able to draw on our unique logistics operation and supporting our sites during times of material constraints. Taylor Wimpey logistics I think is a key differentiator in the sector for Taylor Wimpey enabling us to improve site efficiency and cost effectiveness. In 2021, we relocated the logistics business to a more modern facility with room to grow in Peterborough. 41:53 At its simplest, our logistics business procures, receives, consolidates and dispatches supplies to our sites. And in doing so, provides a number of wider benefits certainty by holding stock of high level standard components, particularly those with suppliers with poor track records and supports our sites during supply fluctuations. Efficiency through enhanced relationships with suppliers on bulk purchase pricing, acting as a single point of delivery, ensuring increased supplier performance and reduced costs. And of course, they provide an alternative consolidated transport route for deliveries to sites, reducing our reliance on supplier deliveries and supporting efficiency with the preparation of build packs delivered to site, just in time for each stage of the built process. 42:47 And then looking forward, the industry will face a number of planned changes this year with the introduction of the New Homes Ombudsman and important changes to the building regulations. Whilst there are obvious challenges, we believe that these changes offer opportunity to further strengthen our customer proposition through increased energy efficiency combined with improved build quality, attractive modern homes and a positive customer journey, all of which will drive value. Part L, F and O will now be very familiar to you and all come into force in June of this year, allowing a one year transitional period for existing sites until June 23, although timings are slightly different in Scotland and Wales. 43:33 To prepare, we conducted a range of research and trials to update the technical specifications for our homes and we also undertook a range of work streams to support the operational businesses and easing the further adoption of timber frame. Further changes are then anticipated in the Future Home Standards in 2025 and we are undertaking trials of alternative technologies such as air source, heat pumps in anticipation. We are of course supportive of the introduction of an independent Ombudsman and in recent weeks, we have signed up to the new code. We are well placed, I believe, for these changes and with actions and processes already well aligned with those expected by the new Ombudsman. 44:19 So we've been preparing for these changes for some time and this has also been reflected in our recent land buying activity, and as I said in our internal processes. So I know I have raced through those areas, but we will come back to them sort of in the coming months and year. So, we are in a strong position and an important focus for the management team will be to maintain and build on business momentum. Our timely land acquisition has set the business up for high quality outlet led volume growth at a time when the market has become increasingly competitive. 44:56 Our primary performance focus remains increasing operating margin and we continue to target a number of areas to achieve this. We will stay focused on cost and operational execution, process simplification and standardization. All core drivers of value for our business. Our management teams will be driving performance and are focused on optimizing sales pricing. And active management of supply chain through our logistics and central procurement teams offers the potential for further time and cost savings. 45:33 We will build on the things we are good at such as build quality, customer service and employee experience, and we'll work on other areas such as sustainability targeting the areas where we believe we can make the most difference to future proof our business. And I'll come back to you in the early summer with more detail on the future of the business in the medium term. 45:56 And now finally from me on outlook. Despite recent rises in the base rate, interest rates remain low and there is good availability of affordable mortgages. Whilst further rises in base rate are anticipated, we expect affordability to remain robust and the monthly cost of servicing mortgage to remain attractive compared to the monthly cost of rental. Assuming the market remains broadly stable, we continue to expect to deliver low-single digit growth in completions in '22 and to continue to make progress towards our operating margin target. 46:36 It is still relatively early in the year and we do continue to see cost pressures across some key materials alongside wage inflation. However, we anticipate current build cost inflation of circa 6% in 2022, but expect sales price growth to continue to offset current build cost inflation. The additional land we have secured has positioned the group to deliver high quality, profitable and sustainable growth. We believe these additional land investments, differentiate our business and will result in increased outlet openings in late 2022 and material volume growth from 2023, generating additional value and compelling investor returns. With a continued focus on execution and efficiency, we are well placed for strong progress and to deliver enhanced shareholder value in the years ahead. 47:31 So thank you and now back to you Pete.
Pete Redfern: 47:38 Thanks, Jennie. Now, I did have a pen. I knew I had one somewhere because I know there will be several multi-part questions. My chance of remembering them all is pretty slim without a pen. So, I'm going to chair the Q&A, but we will divide them up amongst the team, sort of say you get a broad sense from all of us including accruals from Jennie. But over to you, Aynsley, Jonah kick off.
Q -Aynsley Lammin: 48:01 Aynsley Lammin from Investor. Just two questions. Firstly, on pricing. You kind of highlighted the 4% market price increase last year, that's lower than what I've heard from some peers and obviously compared to some of the indexes Nationwide Halifax. Could you just explain that differences, is it mix, just a bit more color there? And then for this year, what your expectation is for HPI? Are you pushing pricing up as we kind of enter into the spring selling season, maybe you could quantify that? And then just a quick easy one, second one on GBP600 million net cash expect at the end the year, presumably that's after the GBP150 million share buyback.
Pete Redfern: 48:39 So I'll definitely push the second part of the pricing question on this year's pricing and the cash question to Chris. However, just quickly dealing with the first one, I think we're comparing apples and penguins because the 4% you picked up is the full year impact in completions of pricing, not our view of point to point pricing if you see what I mean. When you look at what others have said, they are always talking about point to point pricing. So, I don't think anybody else, and because the price increases came partway through the year, and with a long order book, so I think our views around sort of what actual price movements have been from 12 months from today are not particularly different to the rest of the sector as we start going through that reconciliation. But Chris sort of, yes, this year's pricing, where we are now and then the cash question.
Chris Carney: 49:23 Yeah, of course, so I mean, Pete is absolutely right in terms of that 4%. It's a historic completion number, but on a spot to spot basis and if you sort of looked at it, I suppose in mid to late last year to date, we probably seen house price inflation of about 4% over that rough sort of six-month period. And then in the second question, I think, which is the GBP600 million after the GBP150 million? Yes, it is.
Aynsley Lammin: 50:01 Just as you go into the spring selling season, you are pushing prices up now, presumably and they are sticking quite well?
Chris Carney: 50:07 Yes. And you probably heard this fairly consistently from us over the last couple of years. We've been working very hard to optimize price and that has been consistent through pretty much all of 2020 and 2021. You can see this from the sales rate in the year-to-date, the market has been pretty strong and we have taken that opportunity to probably push price a bit harder at the start of this year than we have in the last couple of years.
Pete Redfern: 50:43 Yeah, I think that's right. I think it's one of the strongest periods we've seen, and probably the big stand out, sort of positive surprise in early 2022.
Will Jones: 50:55 Thanks. Will Jones from Redburn. Three please, if I could. First is coming back to the new house type range. Are there any additional numbers you can give us around how far it can penetrate, at what rate? Are there any build cost or margin extras if you like associated to that or benefits? Second is just around fire safety. We've all seen the HBF proposal which looks I think pretty fair to -- more than fair to most observers, but it seems the government wants more, what's your sense of what more they want, please? And the last one is just around thinking about the business as we go into '23 and that large step-up in volume growth that's being guided and expected. Clearly, outlets are big inputs to that, but what are you doing more generally around preparing the business on processes, supplies, people, obviously execution of that we know this sector can be hard at that rate. So, any further thoughts around that? Thank you.
Pete Redfern: 51:54 Yeah, absolutely. I mean, the house type range and the future volume growth are definitely for Jennie, but I'll pick up the fire safety one first. So, yeah, I mean we entirely agree with you that the HBF offer is a very reasonable one. I think I'd say two things about how that compares to what the Government wants and what I think is realistic. And as I said earlier on, we cannot give you a prediction of the end result. We are still very much in the thick of it. However, I think two bits of information, which I think are useful. First of all, I don't necessarily think yeah, let's be honest with the war going on in Ukraine, the coverage on it over the last week or so has been much more muted than it was before. And so actually people haven’t fully explored and really try to understand what that offer is yet in the press. And I think there is a slight misunderstanding, or something that is missed in that, that's quite important, which is just a simple logic. In particular, when you're talking about this key gap which is 11 to 18 meters, which were funded by the Government loan scheme, if HBF members are just short of half of the problem in terms of their historical buildings and HBF members sign up to do the work, and to manage and pay for the work on their own buildings, then by definition, they're covering roughly half of that gap if you see what I mean. 53:14 So I'll come on to the second bit which is we will question the GBP4 billion number that Government has come up with. But even if it was right, the logic of the offer is it takes half of the universal problems out of Government’s remit and therefore I think it is a more substantive offer than necessary has been perceived if you think about it that way. On the 4 billion number, and I think, it will give you some comfort, there really is a big sort of a gap there between our bottom up calculation with quite a large information set based on HBF buildings and there has been quite open conversation over the last six weeks around the industry about real examples and building numbers. And, sort of so we have a much better understanding than we have ever done before and we just cannot get anywhere near the number of buildings Government has used to calculate 4 billion. And so, in a sense, there is a, even in providing what Government actually wants, a proper understanding of that offer. And then a proper understanding of what the actual universe of problems is. Yeah, I think, gets you to a lower gap anyway. And then, if the industry does take the step of removing building from the building safety fund, obviously that building safety fund as I touched on earlier is substantially funded by the industry. But anything that we take out and pay for, effectively as a contribution that Government then have towards that gap and then you add in the obvious bit which I would not labor around, the behaviors of cladding manufacturers and lots of the participants in the market like contractors and others and, sort of our argument will be the gap for Government actually is quite small. But winning that argument isn't going to be easy that will be where the debate should be and hopefully, we'll be able over the course of the next few weeks. And then Jennie, house type range and volume and process and development.
Jennie Daly: 54:58 Yeah. So, I’m starting off with a new house type range. As I said, we're plotting it now. Actually, the first non-prototype sale will be in August this year. So, we're making good progress. The timeline that was on the slide says majority of completions would be from the new house type range by the second half of 2024. I think that we will get some help, Will, from the Part L and F where the teams feel that they have sufficient sort of planning relationship to re-plots, and we would expect to see the businesses re-plot. So, there's some additional incentive with that building reg change built in there, so we might see some, some early uplift than we would normally expect through that. And then to the sort of margin point, we do think that there are benefits that will drop to margin in the new house type range and it was in sort of Chris' bridge on margin there. So, we'll be driving that as best we can. 56:12 And then your sort of question on volume growth for 2023 and you heard, we believe that to be material sort of volume growth in 2023.I think the business is in a really good position to deliver that volume certainly in terms of overall sort of structure and sort of infrastructure of the business. The supply chain are already in advanced discussions with our suppliers around our aspirations and intent to uplift volume so that we can ensure that they're making their plans around ours. And as regards people, I mean, skills and resources are something that's very much on our minds. It's something that we're looking at constantly and looking at continuing to step up what is already quite a heavy level of commitment within the business own skills and resources to ensure that we've got the site teams and to deliver that volume. Thank you.
Chris Millington: 57:21 Good morning, everyone, Chris Millington at Numis. Can I ask the first question about the post-COVID land you have bought. It is roughly about 30% of the short-term land bank and as Jennie laid out, you've clearly got some good deals within that? So perhaps, I don't know, maybe you could give us a comment about how much better margins are on that vintage than what you're able to pay for today. And the second part of that question really is, I presume that's quite a big support between the 21% and 22% margin target, but obviously land being bought today is being bought in a more competitive environment. I mean, do we have a situation where margin shoot up to that level and then have to drift back down because you're not able to buy land quite so well. Sorry, quite a long-winded question, but I think you probably got the drift of it. 58:00 Second one is, we heard one of your competitors talked about potential roof tax to cover this Government liability on cladding, do you think the land market is amenable to take some of that hit given it's so competitive at the moment or will that hit land on you? And then the last one is quite a straightforward one. Is Q4 weighting of completions, obviously that was a bit of an issue back in 2019. We're now revert into a more normal mix? Can you just give us a comment on that as well?
Pete Redfern: 58:26 Yeah. And I'll obviously take the cladding one and touch on the land as well and then I'll pass the Q4 weighting on to Chris, but that also gives Jennie a chance to touch on the land as well. On the roof tax one first. I mean, I heard what Dean Finch said. Just to be clear, Dean and I have talked about where we are, I think yeah actually, in many ways, we're quite aligned as where we stand at the moment, what we've already done as businesses. So, a lot of, yeah, I think we share of common views. I felt he was stronger than I would have been on yesterday on that. I think it's a possibility, but I don't think it is definitive. But it is, as I said earlier, it's really quite tough to call it. I don't think he's wrong. I just think it's not certain. And I do think, and I think the question is fair. Sort of given where the land environment is, the regulatory burden on land, the effective labor we're already talking about in terms of, and we are passing a lot of those Part L and F costs now back as an industry into land values. Sort of sometimes Government has this perception that, that's sort of a never-ending part of gold, and it is not. So, you know, sort of I do think, and it comes about slightly to your question about sort of land margins going forward. I don't feel comfortable just to think it's okay because it's sort of a future roof tax if you see what I mean. I think there is a cost there and we should be able to pass much of it on -- through land but not necessarily all of it. 59:50 And of course, as you all know, we've seen environments where you know sort of land prices get compressed, land supply shrinks. So, it's not just about the economics of each individual piece of land. It's also about land availability. So, it's a one thing that I felt was a bit too strong. I agree with many of the other sort of comments that he made. I think on land we bought, we've said several times, and we talked here as we've gone through stages of land approvals, the land that we bought post equity raise was at higher margins that we are than we were buying sort of immediately pre-COVID crisis, it was definitely lower land costs because we started to build in the Part L and F costs and that was the first time, we were able to do that, I think that then led the industry. So, we saw real savings there. I think we've also been clear that the housing market, which we were more positive on than others at that point in time, also recovered sort of more strongly. 60:40 And therefore, that window is quite tight. And I think for us to go back and sort of split each period into -- in this period, it was this much higher in that period, it's really quite difficult. The truth is the sites we will complete, houses on in 2023, will have a slug from the immediate post equity raise period, a slug from sort of a period as the land competitiveness starts to grow and some sites that go back 10 years, I think is one of the components, and there is no doubt that the timing of those land purchases post equity raise supports our view and yeah, it gives us a positive benefit against that 21% to 22% target. But it would be wrong to think that it's the only reason that we think we'll get there. There are so many moving parts if one of the components, and it will blend and I do not think we will quote it as a separate number. That land though is materially cheaper than you can buy land today. And that's a combination of the competitive sort of advantage we had at the time and where prices have gone since then. 61:40 So I think that also answers your question about risk, you know, sort of, we are blending sites from a long period of time. We always have, we're blending strategic land sites with short-term sites if you see what I mean. It's a contributory factor, sort of, but it's not the only underpin of that '21 to '22. And sorry, Q4 weighting and Jennie, I should sort of, apologies for taking the land question. I should give you this time to comment on it as well.
Jennie Daly: 62:06 You crack on. I mean I think that's probably. Yeah, I mean the only thing that I'd add is at the point that I made in the presentation, Chris, which the level of activity that we have had sort of overrules, and so the 18 months does gives us choices, given that the market is tightening. So, we're in a good position.
Chris Carney: 62:25 And just on the weighting, Chris, and I haven't got the number in front of me, but I think in 2019, our half one, half two weighting was something like 41, 59 and we're not guiding to that. What we are saying is 45, 55 and I think if we look back, so over a longer period, you'd see a pretty consistent number around about that sort of level. So not quite 2019 sort of levels.
Sam Cullen: 62:55 Good morning. Sam Cullen from Peel Hunt. I've got three also. The first one is on Slide 16, on the margin bridge. The land bank component that is obviously a big part of, kind of between the base case and the upside case, I guess of the margin. What should we be looking for rather in those land scenarios, that would mean you come at the low-end or the top end of that margin range? And the second one is going back to kind of, I guess broader ESG and environmental questions. Are you seeing an uptick in customers' willingness to pay up for energy efficient homes given the energy backdrop. And then lastly, we covered a number of times your view on the number of buildings that might be covered, being different to Governments. Are you willing to put a number on that?
Pete Redfern: 63:47 Okay. I am going to take that last question, but I will leave it till the end. I mean, Chris you pick at the margin bridge question and Jennie, do you want to pick up the ESG question on customers willingness to pay?
Jennie Daly: 63:58 Yeah. I mean, let me go on that first. We're not seeing a significant move on sort of customers' willingness to pay, but we are seeing it's starting to increase in the sort of the priority of the secondary considerations. So, it's certainly something that they're now asking about. They're interested in the literature that we're including within our sites. And I think that looking at sort of mortgage rate availability, there are green mortgages now that are available, which Taylor Wimpey qualifies for, which would see a meaningful saving for customers. So, I think with energy costs and where they are, that we are likely to see that becoming an ever-increasing sort of area of focus for customers.
Chris Carney: 64:50 And on the landbank evolution. I mean you're quite right. And I think, I was clear when I presented that we've been reasonably cautious with that slide and I referenced Part L, F and Future Home Standards. So that's where the variability comes at in different scenarios and different outcomes in that regard.
Pete Redfern: 65:19 And on the number of building, I'm going to give you a fairly clear steer on the number and then I'm going to caveat it so much that you can actually use it to put it in a spreadsheet. But the caveat is genuine, but we get to a number based on, I would say, a big sample size, which is less than half in terms of the number of buildings, and we actually get to a, in fact materially, less than half. However, we get to a cost that's slightly higher because it's not about forming a fundamentally different view on the amount of work, it's about actually trying to understand what the universe is. Why is the gap so big and this is where the caveats come in. A lot of you know that the Government has sort of tried to push the timescale back to 30 years, and we've said in January and the only reason we haven't touched on it today is because nothing has changed. 66:04 Yeah, we're not seeing a problem for us in that 20 to 30-year period. And I think sort of what Chris has said, and I think it's very much still true today, we have not had a single incoming call from on a building built by Taylor Wimpey in the '90s, not one from a customer. And this is an issue that has been going on. If there were buildings out there with real concerns in that, we would have heard. Our reticence about pushing it back 30 years is about scope creep. If you think about it and I think, to me, this is one thing that Government hasn't managed particularly well in the 4.5 years since Grenfell. If you don't try to understand what you think the scale of the issue is, then you let that, and then you end up with mortgage companies, insurance companies questioning buildings in the '90s that don't have any of the same characteristics of the Grenfell building or any of the things we've learned from that and that then creates an issue in its own right. 66:55 So that's why we, it's not because we can see a big cost there for us between 20 and 30 years, it because it actually opens up, a whole series of questions that actually we see no evidence that they need to be opened up. But the only, yeah -- so because Government is looking at a longer timeframe, they come up with a bigger number. But actually, we would questioned whether any of the meaningful number of the buildings in that extended timeframe actually have the same characteristics that they need anything like the same amount of work. The other area where Government's estimates differ from our own and this is why it's kind of hard to reconcile is the examples we've seen that they've shown in the '90s or even some of the more challenging ones in the 2000's are refurbishments, and they're often refurbishments of affordable housing performed by Government. They bear more characteristics of Grenfell, but they don't look anything like what Taylor Wimpey does or Persimmon does or Barratt does or anybody else. So that's quite a different problem. And so, that also will give you a sense of why the number is different. 67:57 I think the first one, how the numbers come up with, the time frame is the bigger part numerically. But actually, those buildings that are refurbishments or office to residential conversions, for instance, which is just not something we've done, I don't think many of our similar looking peers have done is quite significant. So, yeah, it's not a simple answer if you take number of buildings and multiply it by cost, sort of actually a small number of size make up quite a big part of the cost. But there are some quite -- even if you took all that out, there is still a big gap on the numbers, but it's why we are slightly hesitant about saying it's X because you would be talking about slightly different things. We should get a microphone over this side.
Ami Galla: 68:36 Ami Galla from Citi. Just two questions from me. The first one was in London. If you could touch on that sort of demand trends that you're seeing in London today and also have you seen the mass of significant tick up in investor demand in London market. And broadly in terms of your view on the land market in London, how do you see that? My second question is on the planning reforms in the country. With the Government taking a pause on it as things stand, where do you think the focus of the next phase of planning reforms would move towards? Thank you.
Pete Redfern: 69:06 Yeah. So, Jennie definitely for you on planning reforms and also on London land. And I'll just pick up the sort of London, yeah, the sort of housing market investors. I mean London has, it's smaller today for us than it ever has been and prime London is very small at the moment. We have and we said, through the equity raise invested in London schemes, where they tend not to be sort, very sort of high rise and our level of investor sales has not ticked up. In fact, it's been going progressively down. I think in London, that's partly availability. But it's also, since the financial crisis, we've not really majored on investors and you set your product up for investor sales and it's just not, where we are. So, I think our comment on the wider market would be investor sales in London have been low for the last four years and that hasn't really changed. But for us, it's just becoming an increasingly irrelevant part of the business. And I think, as you've heard me say before, the London market, the prime London market is so divorced from the rest of the UK that I don't even think it tells us about what might happen in the wider market in the future and then Jennie, on London land and planning reforms?
Jennie Daly: 70:14 Yeah. I mean, I would say it's part of a balanced scorecard of a group-wide business. We've continued to invest in sites in Greater London, but they do fit our profile of that sort of a broader London base homes for Londoners and I'm not really sort of concentrating on that sort of investor overseas market in Central London. So, I'm reasonably comfortable with the investments that we have from a land perspective in that wider sort of London context. And then just picking up on planning reform, we had a bit of a false start last year with the Planning White Paper. Probably, there was a bit more on housing than we might have anticipated originally in the Levelling Up paper, but really the only guidance that we had is a reconfirmation of those 300,000 new homes a year, which is pleasing to have that. And then a nod to shortening local plan time scales, which I think is something that we would all see as a positive move and the necessity, given the sort of the resource issues and local authorities. 71:30 The infrastructure levy was referenced again. So, there is going to have to be some way of bringing out forward. And to Pete's point around, another burden like a roof tax around cladding on top of an infrastructure levy on top of, quite a considerable amount of other burdens. There is a point where a landowner will just say there is too much take and there's not enough sort of long-term return for them to actually sell their land. And then the final point was that points towards brownfield land. So, the expectation is something, Ami late spring, either a Planning Bill or Levelling Up and Regeneration Bill, to sort of deliver some of those sort of expectations.
Pete Redfern: 72:18 Thank you, right back over to the phone call.
Charlie Campbell: 72:26 Thanks very much. It's Charlie Campbell of Liberum. I've got two questions. The first is on the new house type. I'm just wondering whether you've adjusted the plot cost ratios in the land bank for the new house type or whether that could therefore drive that down as the new house type is implemented. And secondly, I think I know the answer to this, but just to get some clarification on it, in terms of 23 volumes, just wanted to understand what the planning delay risk in that. I think you've been quite clear that you've tried to factor that out, but are you expecting planning to go back to kind of a quick, sort of pre-COVID time periods or are your kind of happy with well, are you budgeting for where it is now and therefore, this may be upside if planning normalizes or should we think of that as a risk to '23?
Jennie Daly: 73:13 Okay. I think on the sort of land bank and the position on the new house type range, it's dynamic and there is a transitional process, new acquisitions and we've been factoring the new house type range for a while. So, although we're now in sort of delivery phase, we will have had planning drawings and sort of land, sort of appraisal drawings for some time. And as the teams, if they decide to re-plot, then they would be sort of recognized if there's any sort of rebalancing. And that will be looked at in the round just to whether there is a cost or a benefit in undertaking that re-plan versus just an uplift in Part L and F post June 23. 74:02 And on the sort of planning, sort of timescales, our teams do take a realistic view of planning and rather than planning timescales, then the likely planning delays that we're going to achieve. So, we've taken a real world view of those. But I have to say, it is a dynamic environment and we're always and sort of re-casting those based on the life environment. I mean I think it's fair to say that some of our teams have seen actual benefits in time, in the planning timescales so trying to be fair with better efficiency and local authorities, but an equal number if not more, finding that there are real challenges around resources and planning authorities at present.
Charlie Campbell: 74:47 Thank you. So, if I could just follow up on the plot cost. You said, there is an extra 200 to 400 square feet per acre from the new house type, is that about 2%. Have I got the math on that, right?
Jennie Daly: 75:01 I mean it depends on where you are starting from.
Charlie Campbell: 75:05 Yeah. It's just average, is at about right sort of [Multiple Speakers]
Jennie Daly: 75:08 Yeah, I don't think that's far.
Charlie Campbell: 75:08 Yeah. Thank you.
Jennie Daly: 75:11 Thank you.
Pete Redfern: 75:12 It doesn't feel like we have any more questions in the room. [indiscernible] conscious that few people couldn't get here, but also conscious that some questions that were asked sort of might be asked or might have already been asked, but do you have anybody here online who wants to ask any questions? Okay. No questions. So, I think I'm done. Thank you. And as I said at the beginning, I'm not going to get all sentimental and maudlin, but I would like to thank you for getting here today because I recognize that was a challenge and it's nice for me to be able to do one face to face before I go rather than mapping out yet another Zoom or Team's call or sort of voice-over one. 75:50 And you know for the analysts in the room particularly, just thank you for the engagement and the conversation and the challenge sometimes, but also the proper sensible debate over the years around what the business can do, and where we're going. I hope you feel that we've always been very open with you and I'm confident that, that will continue. But thank you for the support and the dialog and for the Taylor Wimpey people in the room, plenty of time to say goodbye, but thank you for getting here today, because it's been nice to see everybody. So thanks very much and take care.